Operator: Greetings and welcome to the Bloomin' Brands' Fiscal Third Quarter 2021 Earnings Conference Call. [Operator Instructions] It is now my pleasure to introduce your host Mark Graff, Senior Vice President and Investor Relations. Thank you, Mr. Graff. You may begin your presentation.
Mark Graff: Thank you, and good morning everyone. With me on today's call are David Deno, our Chief Executive Officer; and Chris Meyer, Executive Vice President and Chief Financial Officer. By now, you should have accessed our fiscal third quarter 2021 earnings release. It can also found in our website at bloominbrands.com in the Investor section. Throughout this conference call, we will be presenting results on an adjusted basis. An explanation of our use of non-GAAP financial measures and reconciliations to the most directly comparable GAAP measures appear in our earnings release on our website as previously described. Before we begin formal remarks, I'd like to remind everyone that part of our discussion today will include forward-looking statements, including a discussion of recent trends. These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially from our forward-looking statements. Some of these risks are mentioned in our earnings release. Others are discussed in our SEC filings, which are available at sec.gov. During today's call, we'll provide a brief recap of our financial performance for the fiscal third quarter 2021, a discussion regarding current trends and select Q3 2021 guidance metrics. Once we've completed these remarks, we'll open up the call for questions. And with that, I'd now like to turn the call over to David Deno.
David Deno: Well, thank you, Mark, and welcome to everyone listening today. As known in this morning's earnings release, adjusted Q3 2021 diluted earnings per share was $0.57 in comparison to $0.10 in Q3 2019. This significant profit improvement represents a third quarter record for the company. Our strategies are working and reaffirm our ability to deliver on key commitments, and drive even more sustainable growth. This success is directly tied to the planning and hard work that has taken place in our company over the last few years. In 2019, we presented a comprehensive plan to build a stronger, leaner operation-centered company, one focused on providing even better service and food to customers. This plan is designed to significantly improve total shareholder return. Before we get into the details of the third quarter, I want to take a few minutes to review the initiatives from the 2019 plan, which are the driving force behind the strength of our results. First, grow in-restaurant sales by improving service levels and food offerings. Over the last few years, we have made investments in these areas to elevate the customer experience across the portfolio, especially at Outback. As a result, we are taking market share. In the third quarter, U.S. same-store sales were up 9.5% on a 2-year basis versus 2019. This was 600 basis points ahead of the industry. Second, through our leading off-premises business, we capitalized on our strong off-premises capabilities during the pandemic and the high off-premises retention levels in 2021 are contributing to sales outperformance. During the third quarter, the company generated over $236 million in U.S. off-premises sales, representing approximately 27% of total U.S. sales. Importantly, profit margins in the off-premises channel are approaching the margins of the in-restaurant business. This is the result of initiatives that were completed in the last few quarters. We expect off-premises to remain a large and growing part of the business going forward. Third, rapidly improved operating margins by growing sales and reducing costs. We've established a detailed margin framework to grow operating margins to 8% of revenue, representing a nearly 350 basis point improvement from 2019 levels. This starts by growing healthy traffic across the in-restaurant and off-premises channels. We also reduced reliance on discounting and promotional LTOs, and pivoted advertising spend towards more targeted, higher ROI digital initiatives. In addition, we remain disciplined in managing the middle of the P&L and are aggressively pursuing efficiencies in food, labor and overhead. Importantly, several technological and equipment innovations are in test that we intend to roll out to the restaurants in the coming quarters. These innovations should further improve customer service and reduce costs. Margins in the third quarter were ahead of this long-range goal. We remain steadfast in our efforts to achieve the margin framework we committed to and we'll continue leveraging recent learnings to more efficiently run and support restaurants. Fourth, become even more digitally savvy company. In Q3, approximately 70% of total U.S. off-premises sales were through digital channels, a 251% increase over 2019 levels. Over the past year, we have implemented a new online ordering system and mobile app to support our digital business. Both of these have outperformed expectations. You can expect to see more activity on these fronts in the coming quarters. And finally, build a much stronger balance sheet. Given the very good year-to-date results, we have generated a great deal of free cash flow and are paying down debt. Our credit metrics are improving each quarter, and we remain on track to achieve the goal of 3x lease-adjusted leverage by early next year. A healthy balance sheet also provides great flexibility to return cash to shareholders through share buybacks and dividends as well as pursue business opportunities that will enhance shareholder value. One of the areas that we are excited about accelerating is new unit growth at Outback and Fleming's. Outback is a leading brand substantial opportunity for unit growth. The success of the Outback relocation program is a clear indicator of this demand. In the past 5 years, we have relocated approximately 50 restaurants with sales lifts of 35% and average unit volumes of $4.6 million. We recently developed a new less expensive prototype that will enable more meaningful restaurant growth with healthy returns. Importantly, new Outback are also opening above $4 million in average unit volumes. We also have the opportunity to open additional Fleming's in California and Florida, 2 of our best performing markets. Fleming's is a proven category leader and will be a source of growth for the company. We are actively building the pipeline for growth and look forward to discussing this in the coming quarters. In February, we will outline a new restaurant development plan for a meaningful increase in unit growth in the coming years. Now turning to Q3 in current business trends. Recently, there have been some discussions regarding product shortages in the restaurant industry. Fortunately, because of the strength of the relationship with our suppliers and the hard work of our supply chain team, we have not encountered any major shortages. We continue to actively manage our network to ensure the restaurants are appropriately supplied with products to meet the growing consumer demand. There's also been discussion in the industry of around staffing challenges. While we are not immune to these issues, we have made significant investments in our people. For instance, during the pandemic, we did not have any layoffs or furloughs. This decision has contributed to the retention and employee engagement scores that are among the best in the industry. In addition, our turnover is better than industry averages. This enabled us to better serve our guests and deliver the hospitality that our customers expect. Now for a sales update. Combined U.S. comp sales were up 9.5% in Q3 versus 2019. The quarter started up strong through July. However, in August, we saw some moderation from the resumption of traditional seasonality and concerns over the delta variant. Additionally, we made the decision not to replicate significant promotional activity that ran in 2019 at Outback Steakhouse. The offers we chose not to repeat include the Steak & Lobster promotion for $16.99, Steak & Unlimited Shrimp at a discounted price and offers tied to the launch of our third-party delivery channel. These programs started in early August of 2019 and had the collective traffic impact of approximately 10 percentage points over the last 8 weeks of Q3 2019. Although there were merits this activity, repeating this promotion to 2021 did not make sense for our company in the current environment. While there was a negative traffic impact in Q3, it did have a positive impact on profitability. In Q3 2021, U.S. adjusted restaurant-level operating margins grew by 430 basis points over 2019. Through the first 4 weeks of the fourth quarter, U.S. comp sales are up 5% versus 2019. The impact of our decision not to replicate 2019 promotional activities has carried into the fourth quarter. We should be done lapping this from heavy promotional spend in mid-November. Importantly, our sales continued to outperform the industry, which gives us confidence in the momentum of the business. These results would not have been possible without the talented and dedicated employees throughout our company. I would like to thank the hard-working team members in the restaurants and at the restaurant support center. Your commitment to serving guests with the highest levels of service, hospitality and experience is what makes our restaurants so successful. In summary, Q3 was another terrific quarter. We remain ruthlessly focused on executing against our key initiatives. We are optimistic about our ability to continue to capitalize on these opportunities and drive total shareholder return. And with that, I will now turn the call over to Chris who will provide more detail on Q3, what we expect for Q4 and provide preliminary thoughts on 2022.
Chris Meyer: Thanks Dave, and good morning, everyone. I would like to start by providing a recap of our financial performance for the fiscal third quarter of 2021. Given the significant impact of COVID on Q3 2020 results, most of our discussion today will compare against the third quarter of 2019, which we believe provides better context to our underlying performance. Total revenues in Q3 were $1.01 billion, which was up 4.8% from 2019, driven by an improved sales environment in the U.S. Total revenues in the U.S. segment were up 8% versus 2019. This increase was fueled by higher off-premises sales and increases in average check. Total revenues in our international segment were down 15% on a 2-year basis. The decline in international revenues was driven by Brazil, which had continued headwinds from COVID-related capacity constraints in Q3. As I will discuss in a moment, the sales trajectory for Brazil is much improved thus far in Q4. Q3 U.S. comp sales finished up 9.5% on a 2-year basis. Average unit volumes were approximately $70,000 per week in Q3. In the last earnings call, we discussed how July average unit volumes were $71,000 in the U.S. That number dipped down into the $65,000 per week range in late August and early September as we did see impact from the emergence of the delta variant, coupled with some resumption of traditional seasonality. Since the middle of September, we have seen weekly sales momentum build as weekly sales volumes have now accelerated back closer to $68,000 per week. As Dave discussed, we did see a larger degree of comp sales compression versus 2019 in September and into October, driven almost entirely by not replicating 2019 promotional activity. To give some additional context, our 2021 average unit volumes have maintained a consistent weekly gap to 2021 average unit volumes for the industry since the end of July. Q3 sales gains were driven by a healthy combination of traffic and average check versus 2019. Our increases in check average were driven by increased menu mix, a reduction in discounts and to a lesser degree, 2019 pricing actions. Turning to off-premises. This business has proven to be very sticky even as in-restaurant volumes have improved. In Q3, off-premises represented 27% of U.S. sales, which was only slightly down from 28% in Q2. Off-premises revenues were 29% of sales at Outback and an impressive 36% of sales at Carrabba's. All of these metrics have held steady early in Q4. Importantly, the highly incremental third-party delivery business continues to grow and was 10% of U.S. revenues in Q3. Off-premises is a large part of our ongoing success and will remain a key part of our growth strategy moving forward. Brazil Q3 comp sales were down 5.1% versus 2019. Brazil COVID cases remained elevated in June, which was the start of Brazil's third quarter. As the vaccination rate in Brazil increased and case counts began to moderate, we saw an immediate increase in sales. Comp sales versus 2019 turned positive at the beginning of August and are up 7% on average versus 2019 over the past 8 weeks. Our team in Brazil continues to execute at an extremely high level, and we are confident in their ability to navigate the current environment. As it relates to other aspects of our Q3 financial performance, GAAP diluted earnings per share for the quarter was $0.03 versus $0.11 in 2019. Our Q3 results include a $62 million payment made to the founders of Carrabba's as we acquired their remaining royalty stream during the quarter. This large onetime item was excluded from our adjusted results. Adjusted diluted earnings per share was $0.57 versus $0.10 of adjusted diluted earnings per share in 2019. Adjusted operating income for the quarter was $83 million. This result exceeded our adjusted operating income from 2019 of $22 million. This significant profit performance represented a third quarter record for our company. Adjusted operating income margin was 8.2% in Q3 versus 2.3% in 2019. This improvement is driven by our strong sales recovery, ongoing efforts to drive efficiency into our business and lower marketing expenses. In terms of our Q3 adjusted performance by cost category, COGS was 105 basis points favorable to 2019, driven primarily by waste reduction and increases in average check. The labor line was 120 basis points favorable to 2019. The large change in average unit volumes for 2019 drove significant leverage on labor in Q3. In addition, we also benefited from simplification efforts. This showed up in a permanent reduction in food prep hours. Operating expenses were 205 basis points favorable to 2019 due primarily to a $21 million reduction in marketing expense and higher average unit volumes. This favorability was offset by increases in to-go supplies and third-party delivery fees related to the growth in off-premises. On the G&A front, Q3 was down $4.9 million from 2019 net of adjustments. This includes the ongoing benefit of cost savings initiatives that we have detailed on prior calls. In terms of our capital structure, total debt at the end of the third quarter was $854 million. Our trailing 12-month lease-adjusted leverage ratio is 3.3x. We are making significant progress towards the targeted leverage ratio of 3x net debt-to-adjusted EBITDAR. Once we reach our targeted ratio, we will evaluate further debt paydown or other uses of cash to enhance shareholder value. Turning to Q4 guidance. We expect Q4 total revenues to be at least $1.02 billion. As I indicated earlier, we have been averaging $68,000 per week in U.S. weekly average unit volumes for the first 4 weeks of Q4. Our guidance for total revenues assumes weekly average unit volumes to increase to approximately $71,000 in the U.S. for the balance of the quarter, excluding Thanksgiving week. As a reminder, Thanksgiving week is traditionally a much lower volume week than other weeks in Q4 due to the lost operating day. We expect adjusted EBITDA to be at least $115 million. We expect GAAP EPS to be at least $0.45 with adjusted EPS of at least $0.50. These profitability measures for EBITDA and EPS would represent significant growth levels versus 2019. For perspective, in 2019 our fourth quarter adjusted EPS was $0.32. We believe our Q4 guidance reflects continued optimism for our current performance in the U.S. and a more bullish outlook on Brazil as they finish out their quarter. In terms of full year 2021 guidance, we have 2 items that need to be updated. First, we now expect commodity inflation to be approximately 1.5% versus our previous guidance of approximately 1%. Although we are locked on beef, we are seeing pressures in some commodities that we are unable to lock into longer term arrangements. Second, we now expect labor inflation to be approximately 4.5% versus our prior guidance of 3% to 3.5%. This is largely driven by increased wage pressures given the competitive landscape as well as increased training and retention efforts. Finally, although it is early, I wanted to provide some initial thoughts on commodity and labor inflation for 2022. We will provide much more fulsome guidance on 2022 in February. We expect commodity inflation to be approximately 10% next year. The commodity market is currently seeing elevated levels of inflation across all proteins given strong consumer demand and product shortages due to supply chain disruptions. In addition, higher input costs across labor, fuel, freight and packaging are contributing to increases as well. While this risk has been minimized in 2021 due to the great work of our supply chain team and favorable contracting, we expect to see these elevated levels of inflation continue into next year. We have not taken any significant contracting positions at this point in time as we typically make these decisions in early December. We will provide additional visibility on the call in February. The labor market remains challenged. And in addition to the impact of recent legislation, we are paying higher wages in a highly competitive environment. We believe this will lead to labor inflation that is in the mid-single digits next year. While the inflationary pressures from commodities and labor will be significantly elevated relative to historical periods, we are confident that we have offsets to mitigate these headwinds. These offsets include technology-driven productivity opportunities, overhead reduction, menu pricing and a significant recovery in Brazil. In terms of pricing, we are taking a 3% increase in late November. As a reminder, we have not taken a material menu price increase since late 2019. We will continue to monitor current inflationary trends for further potential pricing actions. Since the onset of the pandemic, we have shown the ability to adapt to a constantly changing landscape. And although there are many variables that can change heading into 2022, we are committed to achieving the 8% long-term operating margin framework that we laid out for investors earlier this year. We will provide more details on all aspects of our 2022 guidance, including sales, inflation, margins and capital in the February earnings call. In summary, this was another successful quarter for Bloomin' Brands, and we are well on our way to becoming a better, stronger operations-focused company. And with that, we will open up the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of Jeffrey Bernstein with Barclays.
Jeffrey Bernstein: I had one question and then one follow-up, the question on the margin side of things. It seems like you guys are fairly confident in your ability to combat the headwinds and achieve your margin targets. I'm just wondering in terms of timeframe for this to be achieved. And is it possible to see margin expansion in '22, despite the cost headwinds? And I think you mentioned your confidence still in -- committed to the 8% operating margin. I'm just wondering if you can talk specifically about when you think those might be achieved considering the more recent structural cost pressures we're seeing. And then one follow-up.
Chris Meyer: Yes. Sure Jeff. It's Chris, good morning. I think as you think about 2022, first of all, it's very early, right? So we'll give more guidance in February when we get to the call. But if you think about the construct of the way that the year could come together in 2022, given the guidance that we provided on commodities and labor, you kind of have to think about it like this. If you start with 10% commodity inflation, that would represent for us about $100 million of cost headwind next year. And then if you add in mid-single-digit labor inflation that we talked about, that would be maybe another $45 million of inflation headwind. And OpEx, you're going to get typical inflation, maybe a little more elevated than normal, another $25 million. So all in all, if you look at next year in the construct of how we're thinking about it, that's about a $170 million of inflation headwinds that we would have to offset to keep that framework that we've been discussing. So then it's just a question of the offsets, right? So we already told you guys that we're taking 3% menu pricing and that's going to get you, give or take, $100 million of upside to help offset the $170 million. Then we also talked about Brazil. Let's give context around Brazil. Brazil made $30 million in 2019. In 2021, they're tracking to breakeven for the year. And now they've added new restaurants over the last couple of years. So Brazil could represent a very significant tailwind again to help offset that inflationary pressure. And then between productivity opportunities that we still believe we have in front of us, a reset of our incentive compensation next year, other overhead opportunities or if necessary, we're not beyond taking a little more menu pricing, if that's necessary. There are absolutely, when you add all those levers up, there's a path to offsetting the inflation pressures that we could see next year and holding on to the 8% operating margins. Now the question that you asked is where does that fit in? Well, there's still a lot more to think about in terms of traffic and marketing ROI and how that comes back into the business. But we'll get more into that in February when we had a little better visibility once we get past the holiday season. The important thing, I think, for you and for our investors is that we feel very good about our ability to manage the inflation pressures that we see in front of us.
David Deno: Yes. I just want to add too, Jeff. We're very committed to the 8% margin. If you look at our Q3 numbers, their operating profit margin is up significantly versus 2019. You look at our Q4 discussion, up significantly versus 2019. So we've got the levers in place to make that happen.
Chris Meyer: Yes. And I think one more thing to add just to the question is if you think about Q4 and what's different about Q4, keep in mind that the Brazil recovery hasn't started yet in full effect in Q4 because their year ends at the end of November. So we're not going to get the full benefit of Brazil. And the menu pricing that we've discussed doesn't go into effect until late in Q4. We only get about 5 weeks of that benefit. That's why the Q4 margin is a little more muted than what you might see next year.
Jeffrey Bernstein: Understood. And then my follow-up is just more broadly on the consumer. Dave, obviously with your overview of multiple brands, you've got a wide range of consumers. I'm just wondering what your outlook is on spending maybe to close this year and into '22. It would just seem like the consumer is seemingly absorbing outsized inflation and therefore seeing higher prices on everything, and that seems hard to sustain unless incomes are growing by that level, which doesn't seem likely. So I'm just wondering, from your perspective, how does this play out? When do you see a reality check in terms of maybe a spending pullback from the consumers' perspective?
David Deno: Certainly, we are very hopeful that this is a robust holiday season. If people can't get goods, they can get services and they can enjoy in-restaurants and other places. And if you look at just the outsized sales gains at Fleming's, for instance, just a remarkable performance by our Fleming's team. And also I want to call it the Carrabba's team, you can see what's going on in the business. So it's a little too early, I think, Jeff, to talk about 2022. We have to see the pandemic flow through. We have to see what happens with the consumer. But we remain optimistic as a company and we're seeing really good demands in our restaurants.
Operator: Our next question comes from the line of Brian Mullan with Deutsche Bank.
Brian Mullan: Just a question on the sales deceleration in the fourth quarter versus 2019. You ran through some of the promotional activity at Outback you're lapping. That was helpful. It sounds like that ends in a couple of weeks. But it looks like Carrabba's and Bonefish have slowed up in October as well relative to the third quarter trend. So are there promotional activity at those 2 brands that you also decided not to pursue? Or were those only specific to Outback?
David Deno: There were definitely promotional opportunities. Perhaps most of the things we did at Bonefish as well that we elected not to do this year. So you're seeing some of that in their same-store sales growth in Q4. But the Carrabba's numbers are just remarkable as are the Fleming's numbers. So we -- I mean, to have those kind of sales gains year-on-year -- quarter-on-quarter is really great. And we talked about the Outback piece in my discussion. But just to remind everybody again in Q4 and Q3 of 2019, we ran Steak & Lobster for $16.99, Steak & Unlimited Shrimp at a discounted price and we did some offers tied to the new delivery channel. You add all those up at Outback, that's worth 10 percentage points in traffic, and we decided how to run that because we want to build the brand for the long term, and we had substantial margin increases in the brand support and during -- in the company during the time period. So that's some of the rationale.
Chris Meyer: Yes. And only thing I would add to that is if you look at the Carrabba's, they did run LTOs. They ran limited time offers back in 2019, similar to Outback. The big difference between what you're looking at an Outback maybe relative to a Carrabba's is the 2 LTOs that we ran between mid-August and mid-November, the Steak & Unlimited Shrimp and then the Steak & Lobster promotion. Those are the 2 most effective traffic-driving promotions that we run, albeit at a discounted price, but they are very effective at driving traffic. And that's the real delta between what you're seeing at Outback and maybe some of the other brands.
Brian Mullan: And then just as a follow-up, as you look at making pricing decisions in the coming months on top of the 3% that you just took, are your operating margin targets, are they part of the calculus in those pricing decisions? Meaning, would you manage this business and make those decisions specifically with the 8% in mind? Or maybe that's not the right way to make those decisions at the restaurant level? And should -- would you discourage us from thinking that way? Just trying to understand how you're going to think about pricing on top of that.
David Deno: Yes. Sure. Well, 8% margin is a target for us we're going to stick to and move forward as a company. Now we have many levers and Chris talked about that, right? I mean pricing plus productivity offsets inflation. We want to keep our value traded in place. We want to pursue everything we can possibly pursue in our company to not take the price that we want to or need to beyond 3%. Now if we need to, of course we will, as the economy unfolds. But Chris talked about some of the opportunities, the Brazil come back, some of the initiatives we've got going in in our restaurants on the technology side, all those things come into play to help achieve our profitability objectives and our margin objectives.
Operator: Our next question comes from the line of Brett Levy with MKM partners.
Brett Levy: When you think about where you are right now in terms of your labor positioning, you're on solid footing. And we've heard some other companies out there really sound like they're more focused on driving traffic even if it's a little bit more of a hit to cost. How are you thinking about that holistically in terms of really trying to gain that market share, trying to drive that traffic and maybe get leverage in volume as opposed to just the protection of margins and costs from pricing and just streamlining the business?
David Deno: Yes. Brett, we always want both, right? We want traffic gains and we want to preserve our margins. So that's really what we're trying to do. And I can't speak to other companies, but I can speak to what we did. And during the pandemic, we didn't let anybody to go, we didn't furlough anybody. So when the business came back, our people were already there. And if you look at our employee engagement scores and our turnover scores, are both really great compared to the industry. So we have certainly taken the right labor profile to grow the business. And I just want to underscore to you and all of our investors and analysts, our job is to do both, manage the margins and grow traffic, and we will definitely do that.
Brett Levy: And then just one more question on the -- just on the consumer. Can you give any more detail into -- are you seeing any pockets of variants, either incremental pressure or outsized gains across brands across the region?
David Deno: Well, Chris can talk to some of the geography maybe, but overall we -- Fleming's -- you look at those Fleming's numbers, I mean, they're remarkable. And so the high end is doing extremely well. All of our restaurants are doing well on the demand side, and the Fleming's numbers are particularly attractive and it's really a great business. They're among the very best in fine dining. So that's a pocket of business that I would talk to. But Chris, I don't know if you want to add anything else.
Chris Meyer: Well, no, there's definitely still regional differences, both on the sell side and even on the labor side, right? And it's still this bifurcation, we continue to have strength in the Southeast, Georgia, North Carolina, Texas, same players, Tennessee, same players we've been talking about, continue to do really well. Still pockets in the Northeast and the Midwest, whether it's Michigan, New York State, et cetera, where we have a little more issue in terms of driving volume. But for the record, though, on a 2-year basis, those states stores are positive. It's just they're not as positive as the balance of the system. And that same goes for the labor side. The pockets where we've had challenging issues with staffing, they tend to be more in the Northeast and the Midwest.
Operator: Our next question comes from the line of John Glass with Morgan Stanley.
John Glass: First, Chris, just a follow-up. On your fourth quarter guide, the assumption of average equity sales improving, is that just a function of seasonality? Or do you assume that once you lap this promotion, things improve? How do you build to that? And I think you said that excludes Thanksgiving. Is there a way to think about the total quarter as reported in the fourth quarter on average equity sales basis?
Chris Meyer: Yes. It probably goes down to about $70,000 per week if you include Thanksgiving week. And in terms of just the overall guide, it does include both seasonality and a step-up in volume as the quarter progresses. But again, if you're talking about the lapping of activity, that's not going to have an impact issue on overall absolute volumes. It really is more a product of just the seasonality step up as the quarter progresses.
David Deno: And John, just as you know, right, the last 3 weeks of the quarter, they're big for us. And so we'll be prepared for that. We'll be prepared for a great holiday season, but the last 3 weeks are big.
Chris Meyer: I mean it's an at least guidance for a reason. It really is -- this year has been anything but typical and there's so many unknowns over those last 3 weeks, and we'll see how they come together.
John Glass: And you talked about technology and equipment investments. I think maybe some of that's going into the restaurants now, at least that's my recollection from what you said on my notes. Can you dimensionalize what you think that opportunity is for labor-saving standpoint so we understand how you might be able to mitigate some of this wage inflation for those sort of newer ideas or nontraditional benefits?
David Deno: Yes. I'm not -- John, I'm not going to get into great detail for competitive reasons as to what we think the labor pace people be, but I'm extremely optimistic about the equipment and tests. It's getting ready to roll. This is an Outback, the cooking equipment as far as what we can do to manage labor moving forward can really help us out. So that's part of the equation, but also the equipment from a sales standpoint or the product comes out faster, the table turns will be better, the cooking accuracy will improve. And this is not just a pietree. This is in-test. We're rolling out as quickly as we can. It's the supply chain lets us -- equipment supply chain lets us and so we have this in place for you to go. On the front of the house, we have like a lot of restaurant companies have, technology-enabled products to help our servers there, and we can also have greater table coverage. So I'm not going to get into the pieces, parts and the details on how much -- what that will do to labor. But just know that these are 2 initiatives that we have well along in place and will be part of our plans for 2022 and beyond.
Operator: Our next question comes from the line of Jeff Farmer with Gordon Haskett.
Jeff Farmer: Just a follow-up on staffing. One of your casual dining peers pointed to capacity constraints. Driven by staffing shortfalls, that drove roughly a 3% to 4% same-store sales headwind in the quarter. Did you see any level of that dynamic play out across the quarter for any of your concepts?
David Deno: No, we really didn't. There's pockets of things that we've got to manage and things, and Chris talked about some of the parts of the country that we managed. But, Jeff, the payroll practices we had in our values and stuff really paid off for us, and we didn't let anybody go during the pandemic, and we had the team in place and so we haven't seen that kind of headwind.
Jeff Farmer: Okay. And then the core question for me, so mid-single-digit wage reinflation in 2022. So just looking for a little additional color on the components here. There's the Florida piece of it, but beyond that in terms of thinking about wage rates across your system, are you tackling that on a market-by-market basis? Or have you gotten to a point where you just sort of have mandated an increase in wage across the system? How are you tackling getting a level of wage that attracts employees moving forward?
Chris Meyer: No. It's not a national thought. It really is a market by market, market-specific thought. Every market has a different sort of elements in play that we have to adjust to. So it really is not a national thought. But it certainly is playing out that way is that it seems like pressures are pretty systemic across the country.
Operator: Our next question comes from the line of John Ivankoe with JPMorgan.
John Ivankoe: I was curious about the 10% traffic impact that you think you saw from promotions. Did that also apply to October? And I guess the elimination of those promotions did apparently help the third quarter dollar profit. Is it also helping the fourth quarter dollar profit?
Chris Meyer: Yes. So the one promotion we did discuss the Steak & Lobster promotion, that runs right -- that ran in 2019 all the way up through the middle of November. So that is certainly something that we continue to see impacting the same-store sales comparability for Outback. And there's no question that given the discount that was associated with that Steak & Lobster promotion in '19, not replicating that activity has a positive impact on profitability and margins.
John Ivankoe: Okay. All right. Interesting. And secondly, some -- I think a lot of people are going to focus on that October Outback comp, which I think is underperforming the industry. So I just -- I do want you to just kind of think a little bit more about what some of that cause may be, maybe it is 100% or more than 100% due to that promotion. And I asked this question, are you seeing any incremental staffing challenges or incremental operating hours, what have you, in the month of October that you didn't necessarily see in the third quarter to just try to understand that trend change that we saw in Outback relative to the industry?
David Deno: Sure. John, if I may, I may respectfully disagree with you about the OpEx piece. If you look at our revenue per week at Outback, it continues to be very good and continues to consistently outperform the industry in 2021 on a weekly basis. So we feel very good about that. So the difference is clearly tied to 2019 activities, which we spelled out in great detail and believe that's 10 percentage points in traffic. So -- and we chose not to replicate that for many good reasons. But if you look at the overall Outback revenue trend, we feel good about where we stand. On the second part of your question, the incremental piece, is we have not seen that. Our staffing levels, we have some pockets of challenges, but we're in good shape.
John Ivankoe: And I recognize I kind of asked the same question in 2 different ways in October, but you're very clear, Dave. Thank you for the clarification. And then secondly, I mean, as we look at commodities, obviously your team did a great job in '20. When you think about '21, I mean, I guess, why is 10% the right number in commodities? I mean, why couldn't that number be something materially worse as you're basically -- you have such a difficult comparison in '20? And even if we think about kind of first half, second half is obviously we have to have quarterly expectations we do for 2022. Might it be a very unbalanced year where the first half of '21 could be something materially worse than 10%, and then there's a "hope" that it normalizes in the second half of the year?
David Deno: I'll take the first question, John, and I'll turn it over to Chris about the timing. For us, we haven't completely finished our supply chain work yet. That's always done in December. And we think that 10% look that we have right now is extremely accurate. We do the market basket and we have concepts outside of beef. We've got a lot of pasta, seafood, et cetera. And so that -- you just can't translate -- I know you're not doing that, John, but you just can't translate the beef inflation into the entire basket of commodities. So there's other aspects of the commodity baskets that are helping us out that's muting that a bit. But we -- what we know today, we think that that 10% guide is appropriate. I'll turn it over to Chris.
Chris Meyer: Well, and the way that we would think about locking in, and again, we're -- we always try to maintain flexibility in how we think about locking in for commodities. But the thought that I offer, the 10% guidance is the thought that we would lock in for the full year on beef. And that takes some of the variability out of the potential first half, second half dynamic. But there's no question, beef is only 35 -- it's 1/3 of our overall commodity basket. So when you do think about the first half, second half dynamic, I would absolutely think there's going to be a little more elevated level of commodity inflation in the first half. And then as you get to lapping some of these elevated from '21 in the back half, that would come down a little bit below the 10%. But because with the thought is more of a holistic, we try to lock in a lot of these goods for the full year. It takes some of the variability out of the first half, second half dynamics. But obviously, if we get into these conversations, and we realize there may be opportunity if we hold off a little bit unlocking full supply for the back half of the year because there is an opportunity to get a lower price in the back half, then we'll take advantage of that.
John Ivankoe: And we haven't talked to -- I don't think we've ever talked about chicken as a commodity for you from a contract perspective. Can you remind us where you are in the chicken contract and if that poses a potential risk in '22 versus '21?
Chris Meyer: It's annual, but the one thing about chicken was that it was more elevated this year. So I think that you can expect chicken next year to be either at or below where we guided that 10%.
Operator: Our next question comes from the line of Jared Garber with Goldman Sachs.
Jared Garber: Chris, it was encouraging to hear that you're looking at pricing activity about that 3% to offset some of the inflationary headwinds. Can you help frame where the price will flow through? Obviously, you've got a couple of brands to think about here. And I think one of the things over the last year or 18 months has been kind of rightsizing that Outback value proposition. So I just wanted to get a sense of how you're thinking about that 3% across the brand?
David Deno: Yes. So we take a look -- it's very accurate point. We take a look brand by brand by brand as to what we're going to do. And we made significant headway last year when we looked at how we went to market with Outback, both on products and pricing. And so we're very careful about what we're going to do at Outback and how we're going to price there. But overall, each of our ports -- each of our -- adding it up together, we'll get to 3%. There might be some differences by restaurant chain as to what we're going to do specifically. And I'd prefer not to get into that for competitive reasons, but we do -- you're exactly right. We do take where we stand in the value equation with our customer as we look at the various pricing opportunities that we have. Importantly, we haven't taken price since 2019. And so I'm not saying that we've got all kinds of headroom and opportunity to take price, but we certainly are in a good position in the industry on the pricing front.
Chris Meyer: Yes. So -- and we preserved all of the tenants at Outback of the price decreases we took with the new menu. Just to give you an example, we lowered the prices on our 8-ounce stakes to reduce the gap between the 6 and the 8 to encourage trade up. We preserve that gap, for example. So all the tenants of the things that we did with the Outback price reductions are still in place. And again, as Dave said, this is still -- our pricing is still well below inflation, and we believe where a lot of the competitive set is landing.
Jared Garber: And then just one quick follow-up. I appreciate all the margin color this quarter, but can you help remind us where the level of marketing spend and marketing activity is right now versus 2019?
Chris Meyer: Yes. So it's been pretty consistent. I think we're like 1.3%, 1.4% of sales in Q3, $20 million below. We've kept a pretty consistent gap in just overall spend. Now of course, the LTOs and the things that we're supporting is different, but it's been pretty consistent in terms of how we approach the year versus 2019.
Jared Garber: Would you expect that level to continue into next year?
Chris Meyer: Yes. Like we said, I think that we're going to reserve the right next year to potentially increase the level of marketing spend. It really is going to depend on a lot of factors, including the competitive marketplace where the consumer headset is. We've always said, if you look at that margin framework, that's the long-term margin for marketing, we would approach that 3% of sales range. That doesn't mean we're going to spend 3% of sales in 2022. It just depends on where things play out. But we do believe that longer term for our business, the key longer term, now that we've got our margin house in order, is top line growth through unit expansion and same stores, healthy same-store sales growth. And so part of that is going to be investing in our marketing engine over time. It just is a question of when we turn that back on.
David Deno: And just want to add, during the pandemic, we learned a lot about marketing return on investment, where to spend the marketing, the digital marketplace, the tools that have in place. We've made significant progress in our Outback app and we've seen the opportunities come from that. So there's a lot that we've learned. And as we think about marketing going forward, Chris talked about some of the key things that we will be looking at, but we have the tools in place to make this happen.
Operator: Our next question comes from the line of Alexander Russell Slagle with Jefferies.
Alexander Russell Slagle: On the off-premise profitability approaching the dine in, just wondering how close the third-party delivery is to parity? Or should we continue to think about that as stronger carryout margins offsetting the lower delivery margins? And then just curious if you see this overall off-premise profitability stable at this level? Or is there room for further improvement down the road?
Chris Meyer: Yes. So the first part of the question was third-party and the math there. Yes, third-party is going to be a little lower than your in-restaurant experience and it's going to be lower than your curbside experience. The important thing for us is the curbside experience in some of our calculus is actually a little better than our in-restaurant margin, just given the lack of service labor. So I think we've really honed and refined the margin for our off-premises opportunity, curbside leading the way with that, and it does help to offset some of the lower margin in third party. But again, I got to remind everybody that third-party profitability is not prohibitively low. I mean, we have a little extra pricing on the third-party vehicles, and it does give us -- help us offset some of that. So we feel pretty good about where our third-party margins are.
David Deno: On the third-party sales front, we're clearly seeing a new customer there. You can tell by when they order, how they order, what they're ordering, the channel is growing, and we're excited about the future opportunities of that particular channel. So that is something we'll obviously keep a very close eye on, and I'm really glad that our profitability has come into shape for the company.
Operator: Our next question comes from the line of Brian Vaccaro with Raymond James.
Brian Vaccaro: Just wanted to circle back on recent sales trends I'm just trying to sort through and see through kind of that promotional mismatch. And Chris, I think you made that comment about average weekly sales volumes maintaining a consistent positive weekly gap since the end of July. Can you just expand on that a little bit? Is that the case for Outback specifically or is that an overall U.S. comment? And maybe if you could just frame the $70,000 a week you're seeing at Outback in October. How much has that improved sequentially versus what you were seeing in August and September?
Chris Meyer: Yes. So I'll handle the first one, and we'll get some -- Dave to help you answer the second one. So we're fortunate to have 2 really strong industry benchmarks in KNAPP and Black Box. Black Box provides a weekly average unit volume calculation for casual dining. If you compare that benchmark to Outback's weekly average unit volumes, that volume gap has stayed consistent since we shared our July results on the last earnings call. So this takes the -- then what I like about that calculation is it takes the promotion noise from 2019 out of the calculation. And that's honestly what gives us confidence that Outback sales continue to be strong and profitable. Well we'll get to the second piece in terms of the progression of the Outback sort of sales, but it's pretty consistent. The story we saw at Outback is pretty consistent with what we talked about for the total company and the total portfolio. Carrabba's has maintained, as you saw on the comp -- because they've maintained such a high level of off-premises business, they've been a little bit stronger actually throughout the -- that same time period.
Brian Vaccaro: All right, great. That's helpful. And on the commodity front, what was Q3 commodity inflation? And what does or what does the fourth quarter or what is the updated annual guide imply for the fourth quarter in terms of inflation?
Chris Meyer: Yes. So commodities were 2.5% in Q3, and they would jump up to 4.5% in Q4.
Brian Vaccaro: Great. And then last one for me. I just wanted to ask about the equipment and technology opportunities you see into next year. And just given the tight supply chains around the world, can you speak to your ability to source these items and what's a reasonable number of units or a pace you think you could roll these changes to moving through '22 and perhaps into '23?
David Deno: Yes. It's a challenge and we have in the restaurants and working. And I think it's a little premature to roll up the pace. Brian, I'd like a little more time to understand the supply chain better, but we'd like to get it in as soon as possible over the next 18 months. I don't know, but we'll see how quickly we can move on the supply chain piece. That's on the equipment side. That's the most important thing. The most important thing though is we've got something that we know that works that improves the customer experience and helps us manage labor.
Operator: Our next question comes from the line of Lauren Silberman with Credit Suisse.
Lauren Silberman: Can you talk about where you are with on-premise sales and on-premise transactions versus 2019? And for off-premise, did you see sales dollars stay steady throughout the quarter and into 4Q? Or does it mirror a similar trend to the overall business?
David Deno: Yes. On the in-restaurant side, we still have an opportunity to grow our in-restaurant dining as dining rooms open back up and customers get more used to coming back in. And we're actually hoping that from a standpoint of the holidays and things, that could be a tailwind for us as we think about things moving forward. So there's still some capacity in the dining rooms that we can take advantage of. And then on the off-premises side, our job is to grow that business, especially on the carryout side and the delivery side. We're seeing -- and Chris, if you could add some color on the details. But our job, on the delivery side and the carry out side, especially in third party, is to grow the overall off-premises sales dollars.
Chris Meyer: Yes. So a couple of data points that might be helpful. So our in-restaurant sales in Q3 were down 8%. So obviously, we're still getting a real nice buffer, a real nice tailwind from our off-premises opportunity. The one data point that Dave talked about from an OPD standpoint is that as in-restaurant volume has improved over the last couple of quarters, you have seen curbside come back a little bit. The third-party piece, which is the one piece that we know is very incremental and is very exciting to us, that's actually held pretty steady. In fact, over the last 4 weeks, it's actually grown. It was -- it's actually now at 11% of sales. So it continues to grow, and that is something to watch out for because that's pretty exciting for us.
Lauren Silberman: Great. And then as we think about commodity inflation beyond the near term, how do you think about the transitory versus permanent nature of some of these elevated cost levels, just given the increasing labor across the supply chain, trying to understand what is more normalized from a cost level versus what you'd expect to sort of come down from these levels?
Chris Meyer: Yes. On the commodity side, it really does remain to be seen. It's very elevated. You have this perfect storm of very tight supply and high demand, both in the U.S. and overseas. The demand overseas as high as well. So look, that's what's reflected in the current estimate that we gave and the current pricing that you see in the spot markets out there. It remains to be seen how long that demand remains with these elevated level of pricing. But we feel good about visibility in the first half of 2022, but beyond that we're just going to have to wait and see.
Operator: Our next question comes from the line of Jon Tower with Wells Fargo.
Jon Tower: Awesome, a lot have been answered, but couple of follow-ups. Just first and foremost, what's the rationale for buying in the Carrabba's founders during the quarter and the timing around that? And then second, Dave, you had mentioned the idea of restarting unit growth, particularly at Outback and potentially Fleming's in the future. So I was hoping, one, you could offer some metrics around new store prototypes like cash-on-cash return expectations? And what sort of growth is embedded in your longer term targets of the 8% EBITDA margin? And then -- or EBIT margin, excuse me. And then also, just your commentary around the brands that you're thinking about growing. It was Outback and Fleming's, but noticeably absent with Carrabba's and Bonefish. So I'm curious to know if there's anything to read into that.
David Deno: John, lots unpacked, so I'll do the best I can, if I miss anything. But on the Carrabba's royalty piece, we bought for one simple reason. It's a great value for the company. We -- the brand is doing extremely well. As you see, we've got a great relationship with the founders. All financial measures would indicate that it was a very smart decision for our company, and you're going to see that benefit moving forward. And we get to enjoy the full profitability of the business, one that's doing extremely well right now. On the prototype and the costs, we're going to unpack our view on the new unit development opportunity, which we think is very significant. In the February call, we're going to talk about the brand we see to expand and why. We're going to talk about some of the costs and returns there associated with it. I can tell you that we have in test in Brazil and in the U.S. being rolled out, a smaller footprint Outback that still has a large number of seats is off-premise delivery enabled, has very high returns, and we'll talk more about that in February. I can say that our average unit volumes for our relocations that we're opening are $4.5 million, and the new units that we're opening have volumes above $4 million. So we feel extremely good about Outback. Flemings, the results speak for themselves, and we're doing extremely well in California and Florida, and that is a very, very attractive return. And then Carrabba's and Bonefish, we'll see. I didn't mention it because we're not far enough along right now to mention other news, but those brands are performing very well and could have expansion opportunities in the future. But our priorities right now are Outback and Fleming's in the U.S. and then our Brazil business continues to do remarkably well. If you look at the rapid bounce back in the business in Q4, if you look at the opportunity we have there to expand, if you look at the market position in that business, the margins, we expect a really good year out of Brazil in 2022. And it'll be, as Chris laid out, will be some one way that we will offset some of the headwinds that we have in our company on the inflation side.
Jon Tower: And just following up on the Carrabba's piece. What was the royalty that you were paying? And how did it hit the P&L? Was it on the sell side or on the cost side?
Chris Meyer: Yes. So it was about 1.2% or so overall royalty. It hit in-restaurant operating expense. So we're going to pick up, call it, close to $7 million on an annual basis from the repurchase of that royalty, which -- that will add another 20 basis points of margin or so. So it really is a, I think, a very efficient way for us to add bottom line to the company moving forward, particularly given how strong that business is performing.
Operator: Ladies and gentlemen, we have reached the end of today's question-and-answer session. I would like to turn this call back over to Mr. David Deno for closing remarks.
David Deno: Well, thank you, everybody. For the discussion today, this -- we'll wrap up our discussion until February about Q4 and 2021. 2021, we will exit 2021, a completely different company than we were in 2019 on many measures. And in the February call, we look forward to talking to you about our Q4 results and providing some guidance on 2022. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation. Enjoy the rest of your day.